Operator: Good morning and welcome to the Chico’s FAS Inc. First Quarter 2016 Earnings conference call. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Jennifer Powers, Vice President of Investor Relations. Please go ahead.
Jennifer Powers: Thanks Andrew, and good morning everyone. Welcome to Chico’s FAS first quarter earnings conference call and webcast. Joining me today at our national store support center in Fort Myers are Shelley Broader, our Chief Executive Officer, and Todd Vogensen, our Chief Financial Officer. As a reminder, any forward-looking statements and quarter-to-date data points that we make today are subject to risks and uncertainties, the most important of which are described in our SEC filings and in today’s earnings release. In these remarks, we are excluding Boston Proper from all financial data discussed today for comparability purposes. Additionally, we will refer to adjusted earnings per share, which is a non-GAAP financial measure. A reconciliation our GAAP earnings per share is included in today’s press release for your reference. With that, I’ll turn it over to Shelley.
Shelley Broader: Thank you, Jennifer. Good morning everyone. I will first review our financial results for the quarter and then secondarily discuss the progress we’re making on our four focus areas that I introduced on our last earnings call in February. Our first quarter sales and earnings were well below our expectations. Along with a broad cross-section of retail, a sharp traffic slowdown beginning in March impacted our results. Chico’s FAS’ adjusted earnings per share for the quarter were $0.25 versus $0.30 last year. Our total sales were down 4.4% while comparable sales were down 4.2% versus last year. Despite the challenged macro trends, our effective marketing campaigns and our tremendously loyal customers enabled us to drive higher traffic to our stores compared with overall apparel and accessory mall traffic. Moreover, once we got her into our store, our vibrant associates delivered our amazing personal service, producing higher conversion rates and only slightly negative transactions when compared to last year. However, our service and increased conversion were not enough to completely offset the weak traffic and sales across the industry, as the decline in our average dollar sale led to negative comparable sales. Consistent with our focus on financial discipline, we acted quickly to reduce spending in response to the negative sales and traffic trends. We cut our SG&A expense by over 3% or $7 million year-over-year. We also reduced our capital expenditures by $7 million compared to the first quarter of last year. While there were important cost reduction actions for the quarter, just as important is the fact that we have identified a number of additional and significant operating efficiency initiatives as part of our continued focus on financial principals discussed on our last earnings call. I will speak about these new initiatives, as well as our progress on our other operating improvement priorities shortly. First, let’s review the results by brand. Chico’s comparable sales were down 5.4%. Jackets, jewelry and dresses resonated with our customers as she sought our unique fashions. Additionally, we capitalized on the current trend with our cold shoulder woven tops; however, our warmer weather styles, such as printed and cropped pants, did not sell as well. Knits and sweaters were also weaker as fashion trends have been shifting from knits to wovens. Looking ahead to next quarter, we’re excited about our new silhouettes and designs, such as printed palazzo pants and our maxi dress assortment. Turning to White House Black Market, comparable sales were down 3.8%. Our denim, woven tops and accessory businesses were very strong; however, similar to Chico’s, knits and sweaters were down versus last year. We’re pleased with the progress we have made on the evolved esthetic of the brand. The response from our focus groups and in-store feedback has been very positive. At this time, we’re focusing on rebuilding the White House Black Market special occasion business that our customers have sorely missed and have come to expect from our brand. We expect to benefit from our renewed special occasion focus by later this year. Heading into summer, the White House Black Market collection builds on the soft bohemian trend but with more polish. Softer, less structured dresses are resonating with our customers, and we are offering an assortment in sheer, chiffon, poly and printed fabrics. Now onto Soma. Comparable sales were a positive 0.5%. The launch of our Enticing Bra, with none of the push but all of the up, was a tremendous success. It was our highest volume bra launch ever. Soma’s overall comparable sales were impacted by the challenging traffic environment, but importantly the brand was able to leverage their maintained margin rate as a percentage of sales versus last year. Soma’s Elevated Creative featuring more sensual imagery in print and on TV helped drive more traffic to our stores compared to the overall mall. The campaign also drove traffic online, reinforcing our view that customers are buying online even without trying the product on in our stores. During the quarter, once again bras, swim and sleepwear were our strongest categories. Our pipeline of new bra launches will continue throughout the year, and we’re introducing a new bra this summer which will be followed by several more major launches. Before turning the call over to Todd, I want to update you on the progress we’re making. Now that I have been here for nearly six months, or 176 days for those of you that are still counting, I have completed my in-depth review of Chico’s FAS. The four focus areas that I spoke about in February remain our key operating priorities, and we can now provide more details on them. As you recall, these priorities aim to improve performance and increase shareholder value by evolving our customer experience, leveraging actionable retail science, strengthening our brands’ positions, and continuing to sharpen our financial principles. We are certainly making progress against these priorities. Last month, we announced a realignment of marketing and digital commerce which addressed two of our priority areas: strengthening our brands’ positions and sharpening our financial principles. The realignment reduces costs by $14 million annually and puts decision-making back into the hands of our brands, bringing us closer to our customers and resulting in a leaner, more simplified structure. While an encouraging first step, given my previous experience I know that this business can be much more successful by focusing on the profitability of each transaction, and that there are other actions we can take to further improve results and increase shareholder value. In this regard, today we are announcing several new operating efficiency initiatives. In addition to creating significant cost savings, these opportunities advance our progress against the other priorities I introduced to you in February, including the $14 million savings from the marketing realignment that we announced in April. The new actions that we are announcing today are expected to result in an aggregate savings of $65 million to $85 million annually, with $15 million anticipated in 2016. The three initiatives generating these savings are supply chain efficiency, non-merchandise expense reductions, and further marketing spend optimization beyond what we’ve already announced in April. We have also identified additional savings through process realignment and clarifying our organization structure, including roles and responsibilities. I will share more information and estimated savings once these details get finalized. For today, I’m going to focus on the changes that we are making to our supply chain, our non-merch procurement area, and marketing, and why these changes are critically important. Last year, Chico’s FAS implemented several key cost cutting actions, including slowing our square footage growth, closing stores, and implementing an organizational realignment which reduced our headquarters and field management headcount by 12%. The actions we’re announcing today build upon those steps, yet more fundamentally change and improve our operating model and the cadence in which we go to market. In addition to generating meaningful cost savings, these actions have the added benefit of improving our agility so that we can respond to the demands of our customers in real time and consistently deliver the merchandise that she wants. Let me start with the supply chain efficiency initiative. After reviewing our processes, meeting with vendors and benchmarking against our peers, we assessed and sized our opportunity. We will be able to drive savings from areas such as testing product to identify winners early, positioning fabric, optimizing our floor set cadence, and collaborating more effectively with our vendor partners. For example, we know that customers seek newness and they feel compelled to buy when they think an item they love might be gone tomorrow, but there are many cases where the newness we can deliver can be greatly improved by testing our product. We need to retain this sense of newness by being more efficient in the balance of fashion versus basics, and disciplined in the amount of choice we offer. We expect that our supply chain initiative will save $30 million to $40 million annually and that we will start seeing those savings as early as 2017. These merchandise cost savings reflect reductions in average unit cost and lower markdowns. Turning now to marketing and non-merchandise expense, in addition to the $14 million of annualized savings we announced in April, we believe that we have the ability to reduce our marketing spend by at least another $11 million each year by using our rich history of data to determine the most effective marketing techniques to engage with our customers. Also, given our scale as a multi-brand operator, we have the opportunity to reduce our non-merchandise spend through formalized and strategic supplier rationalization, negotiation and collaboration. We expect the non-merchandise procurement changes to result in $10 million to $20 million of annual savings. Taken together, the actions we’ve reviewed today result in a meaningful improvement to our operations and a significant savings of $65 million to $85 million. As I said, we have more to come. I look forward to sharing further details once those plans are finalized. Our executive team is united on the necessity and urgency of capitalizing on these operating efficiencies and continuing to focus our priorities of evolving the customer experience, leveraging actionable retail science, strengthening our brand position, and sharpening our financial principles. We look forward to continuing to update you on our progress. Before I turn the call over to Todd, I want to touch briefly on our recent announcement regarding our nomination of Bonnie Brooks, Vice Chairman of Hudson’s Bay Company, and Bill Simon, the former President and Chief Executive Officer of Wal-Mart U.S. As new independent directors to the board, Ms. Brooks and Mr. Simon both have impressive records and skill sets that we know are excellent fits to the operating priorities we are pursuing. We look forward to sharing more about their experience and our slate for the annual meeting over the upcoming weeks; however, today’s call is about our results and the rapid actions that we are taking to improve our business, so I ask that you keep your questions focused on those topics. Now I’ll turn the call over to Todd.
Todd Vogensen: Thanks Shelley, and good morning everyone. As you’ve heard, the apparel retail environment weakened throughout the first quarter. While traffic trends were challenging at our physical stores, our online business continued to be strong; but unfortunately, the online volume was not enough to offset the overall weakness. When our sales trends started to worsen around mid-March, we immediately acted to prioritize resources, reducing expenses, inventory and capital expenditures. We also intensified our promotional efforts to keep our inventory moving. For the first quarter, net sales were $643 million, a decrease of 4.4% from last year. Gross margin dollars decreased to $262 million versus $287 million last year as our gross margin rate deleveraged by 190 basis points. The decrease in our gross margin rate as a percent of sales was primarily related to occupancy costs which deleveraged by 100 basis points and average unit retail which was negatively impacted by our higher level of promotions. As Shelley mentioned, we quickly pivoted to cut costs as sales slowed through the quarter. This resulted in a reduction of SG&A dollars by over 3% or $7 million to $208 million, deleveraging on the sales decline by only 40 basis points versus last year. Turning to the balance sheet, we ended the quarter in a strong cash position with $107 million in cash and short term investments after returning nearly $48 million to shareholders through a combination of share repurchases and dividend payments. We also repaid $2.5 million in scheduled principal payments, ending the quarter with $90 million outstanding on our term loan. Total inventories increased by 4% in the first quarter. As we saw sales slow through the quarter, we course corrected and are focused on moving through this inventory. We strategically reduced our inventory purchases for fall and holiday. As a result of these activities, we’re positioned to mitigate any ongoing traffic issues, therefore we expect inventory to be flat at the end of the second quarter but down relative to last year in the third and fourth quarters. Capital expenditures totaled $13 million in the first quarter, mostly comprised of investments in existing stores and technology. During the quarter, we opened seven new stores and closed eight. Next, I’d like to give you more details on the timing of the savings from the operating efficiency initiatives that Shelley just described. Combined with the marketing and digital commerce realignment that we announced last month, the operating efficiency initiatives that we discussed today will provide savings of $65 million to $85 million on an annual basis. The $30 million to $40 million in savings related to our supply chain efficiency initiative will be reflected in cost of goods sold. We expect to start seeing these supply chain savings in 2017. We expect our marketing spend optimization and non-merchandise procurement initiative to reduce SG&A by $20 million to $30 million, and our previously announced marketing and digital commerce realignment to reduce SG&A by $14 million. From these initiatives, we expect to realize $15 million in savings this year, with the rest of these SG&A savings realized next year. Now I’ll update you on our financial outlook for the rest of the year. As you know, the current sales environment has impacted apparel retailers really across the board. We don’t see any short-term catalysts that would significantly change this trend, so with this current backdrop we are updating our expectations for 2016. We estimate comparable sales to be down low single digits for the remainder of the year. We’re focused on several sales levers. First, our recent marketing mix analysis, which measures the effectiveness of our marketing methods, is helping us to allocate our resources to use those marketing tools that will drive customer engagement and return on ad spend. We are also enhancing analytics with regard to pricing and promotions to deliver a compelling value proposition for our customers. As always, our brands are focused on providing our unique fashions and personalized service, influencing her to buy from us when she visits our store or website. Looking ahead, for the full year we are expecting slight gross margin deleverage as our occupancy costs will deleverage with lower sales. We do expect slight leverage of maintaining margin for the full year, but the second quarter maintained margin will be pressured by the higher inventory levels from the first quarter. To address occupancy costs, we’re continuing with our store rationalization program. In addition, our real estate team under new leadership is focused on aggressively negotiating rent reductions to better align occupancy costs with store traffic levels. We expect to see slight deleverage of SG&A across the year given the difficult sales environment, but we also expect to see total SG&A dollars continue to decline versus last year as we adjust our cost structure. We are still planning to close approximately 50 stores this fiscal year primarily in the Chico’s and White House Black Market brands. The majority of the closures will occur in the back half of the year. We’re pleased with the sales transfer rates from our closed store locations as the sales transfer continues to exceed our expectations. Given the successful transfer of our core customer and the strength of our online business, we are evaluating our fleet for potential incremental future store closures as well. In this challenging environment, we’re allocating our resources prudently. We reduced our expected capital expenditures for the year by $10 million to $65 million to $70 million. We will open approximately 15 to 20 new stores which will be primarily Soma stores. Related to our priority to evolve the customer experience, we are mainly investing in our existing stores and in technology. In closing, we’re confident in our future. We have three powerful differentiated brands with incredibly loyal customers, and we have well defined plans to capitalize on our operating improvement opportunities. The initiatives discussed today demonstrate our focus on sharpening our financial principles and evolving our customer experience. Successful execution will lead to strengthened performance by driving savings and efficiencies without compromising our brand differentiators, especially our distinctive customer experience. Our supply chain efficiency initiative will heighten our agility, speed and customer responsiveness while cutting costs. Our collective marketing initiatives will more efficiently and effectively allocate our resources, and our non-merchandise procurement initiative will continue to provide further savings to increase our profitability. Our management team is resolute and energized about the actions that we are taking, knowing that executing against these initiatives will improve our business performance and enable us to increase shareholder value. Now I’d like to turn the call back over to Shelley.
Shelley Broader: Thank you, Todd. As you know, I’ve been in this role for just shy of six months. Now that I’ve had the opportunity to perform a really deep diagnostic of our business, to build a plan and to solidify our priorities, I am focused on leading this company into action. Last month, we announced a marketing and digital ecommerce realignment that generated significant savings. Today we’re announcing supply chain and non-merchandising procurement initiatives as well as further enhancements to marketing that will save an additional $50 million to $70 million annually. We are continuing to look at our operating model and cost structure. As we define our roles and responsibilities across our businesses, we know we can drive more profitability with the transactions that we have today. Reinventing our company will not only involve executing strategies and initiatives, but it must also include building the team. In this regard, I’m pleased to announce two recent key hires that will fortify our executive team and help us accomplish our goals. Kristin Oliver started earlier this month as our new Chief Human Resources Officer. She joins us from Wal-Mart U.S. where she was Executive Vice President of People, supporting 1.4 million associates. Kristin has significant experience implementing world-class talent attraction, development and retention programs in addition to defining roles, responsibility and structure. We’ve also appointed Susan Lanigan as our General Counsel, as announced yesterday. Susan served as Executive Vice President, General Counsel of Dollar General from 2006 to 2014. At Dollar General, she worked with senior management and the board in strategic planning and growth initiatives during a time when that company grew from $11 billion to $18 billion in revenue, as well as managed governance matters. It goes without saying that both Kristin and Susan will be instrumental in the planning and execution of our strategies and initiatives to increase operational efficiency and profitability. While we expect this challenging macro environment to continue, the actions we’re taking will ensure not only that we survive but that we thrive. Our brand positioning and our connection with our customers are at the core of all of our efforts. As we continue to take action on our four focus areas, we are becoming more nimble, adapting much more quickly to our customers’ needs, and improving our efficiency and cost structure. Looking ahead, as we execute the initiatives discussed today, we are strengthening our foundation. We are positioning Chico’s FAS to better leverage our iconic brands and the loyal customer base we serve in order to drive substantial growth and increased shareholder value. Thank you very much, and with that I’ll turn the call back over to Jen for Q&A.
Jennifer Powers: Thank you, Shelley. That concludes our prepared comments. At this time, we’d be happy to take your questions. In the interest of time and consideration to others, please limit yourself to one question. As Shelley noted earlier, we also ask that you keep your questions on today’s call focused on our results. Thanks, and I’ll now turn the call back over to Andrew.
Operator: [Operator instructions] The first question comes from Neely Tamminga of Piper Jaffray. Please go ahead.
Kayla Wesser: Great, good morning. This is Kayla on for Neely. Just as we think about gross margin in the second quarter, wondering what your thoughts are and expectations between your planned promo cadence versus the need for any stepped-up clearance. Then one quick housekeeping question - are you guys planning on sending out a schedule for the cost of goods sold adjustments you guys made in your reporting structure? Thanks.
Todd Vogensen: So two things. First on the reclassification of occupancy and shipping costs in our financial statements, we actually did file an 8-K on that. It was right at the end of April, so if you want to refer back to that, it actually does have all of the historical numbers for occupancy and shipping that moved up. Sorry, your other question was on gross margin in Q2? So we absolutely took that into account as we were ending the quarter, and we know we ended with our inventory up a little bit. The transition of merchandise from spring into summer is a much more natural transition than maybe at other times of year, so we have gone through our promotional calendar and figured out where there are tweaks that we might make. The goal is not to do wholesale mass markdown clearance activity. It’s to be very thoughtful and very planned in how we go about moving through that inventory, and feel like we have a plan in place that will get us back to that flat inventory level by the end of the quarter.
Kayla Wesser: Thanks.
Todd Vogensen: Thank you.
Operator: The next question comes from Betty Chen at Mizuho. Please go ahead.
Betty Chen: Thank you. Good morning. Thanks for taking our question. I was wondering if you could talk a little bit more about the supply chain initiative. Partly we’re also curious to hear more about the testing. How much of the merchandise is currently tested? What will be some of the changes to that effort, and how does that also impact the buying process and the timing to get your more flexibility? Thanks.
Todd Vogensen: Absolutely. So we’re in the very early stages of the initiative, so I don’t want to make too many definitive statements while we’re still in the planning and vetting process, but we’ve done enough that we felt very comfortable with the savings numbers we’ve thrown out. At this point, I think we are further defining from a testing perspective what exactly types of merchandise we’ll want to test and how we are more planful as we go into the season on exactly what’s going to be tested, which vendors we’re partnering with to do that and so forth. So early to give too much, but I think we’ve already seen with the initial work we’ve done and with validating that $30 million to $40 million in total savings, there is a lot of opportunity.
Betty Chen: Great, thank you. Nice progress. Best of luck.
Operator: The next question comes from Simeon Siegel of Nomura Securities. Please go ahead.
Julie Kim: Hi, it’s Julie Kim on for Simeon. Thank you for taking our question. Regarding the traffic decline you saw in the quarter, could you give more color on how much of the comp was driven by traffic and your outlook on the environment moving forward, and if you are taking any actions to prepare for that? Thank you.
Todd Vogensen: You bet. So interestingly, our transactions ended up being slightly negative, but really fairly close to flattish, so that gives us a lot of hope. We did see traffic in stores down, though less than the overall mall, and we were largely able to make up for that with online transactions as well as just very strong in-store conversion. So when she came into the store, she was buying and that’s a good sign for us. We also did bump up some of the promotional activity during the quarter, which you saw. That was the more significant impact on comp sales as our average unit retail was really the big decline there. As we look forward, we know what we know today. I think it’s fair to say that none of us are professional economists, so we know what traffic trends we’re seeing and what fashion trends we’re seeing, and we’re really building the business around that and taking a healthy degree of conservatism. So before we said things like we expect inventory to be down in Q3 and Q4, we took the actions that would make sure we got to that position even if tough traffic persisted, so that is well considered in our outlook for the future quarters.
Julie Kim: Thank you.
Operator: The next question comes from Ed Yruma of Keybanc Capital Markets. Please go ahead.
Ed Yruma: Hi, thanks so much. You guys talked about the potential for rent relief, or that you were looking to get it under a new real estate team. I know that the Real Estate Convention was this week. Have you begun those conversations with your landlords? Can you provide any kind of contextualization as to what rent relief may look like? I guess as a follow-up, in some of these supply chain improvements, how should we contemplate the potential to improve speed as part of that process? Thank you.
Todd Vogensen: Sure, so I’ll start with rent relief. We have been looking at rents all the way along. The beauty of having so much customer information is when we close a store, we have the ability to track what we would have expected a customer to spend and then what she eventually spent and where it went to, so did it go to a nearby store, did it go online. For us, we’re able to see that we have a customer that is incredibly mobile and those sales can show up in places that you never would have necessarily expected in a traditional real estate model, so we’re able to share some of that information with our landlords and really working with them pretty aggressively to understand what traffic trends are, what our business looks like, and frankly to make sure that we maintain the profitability of the bricks and mortar stores that we have out there. One thing probably to note that is a big deal for us, we do only have, like in the Chico’s brand, less than 25% of its stores are in enclosed malls, so we have a little bit of a benefit in that Chico’s ends up being a destination in a lot of cases, as opposed to having to require being in an enclosed mall and depending on that traffic. So that gives us a little bit of an advantage and it gives us more flexibility on our real estate, and also gives us a little bit more flexibility as we’re talking to our landlords. In terms of speed to market, I don’t know if you want to chime in on that one, Shelley?
Shelley Broader: I think that’s a very exciting opportunity for us in the supply chain business, and when you look at not only what’s happening with fast fashion but the immediacy of meeting customer demand. So the idea of changing the cadence of our calendar is that much more matches the purchasing patterns of our consumers and the fact that we have the data that will tell us when she’s coming in, when she’s looking for newness, how much of that she is looking at online and purchasing in-store, how much of that she’s purchasing online, and significantly reducing our speed to market while taking cost out of the system is the goal of this process.
Ed Yruma: Great, thanks so much.
Operator: The next question comes from Randy Konik of Jefferies. Please go ahead.
Janine Stichter: Hi, this is Janine Stichter on for Randy. Thanks for taking our question. Just had a couple questions on product at White House Black Market. First with the special occasion business, can you just give us a sense of how big that business was at its peak, where it is now, and where you ultimately think the right size is for that business? Then secondly on the White House accessories business, it seems like that’s seen a nice turn in the last few quarters after being weak. If you could just give us a sense of what’s going on there and how you see it trending in the future. Thank you.
Todd Vogensen: You bet. So first, special occasion. I think it’s fair to say White House Black Market really started out being known for their special occasion business, so it was a significant piece of the business, particularly dresses. Now, over time as trends have changed, as work has become more significant to the business, we’ve seen very strong trends in denim, that special occasion business has dipped quite a bit, so the truth of where we’re at today is somewhere in the middle. I don’t think--I think we view making sure that White House is a destination for much more than just special occasion is really important, but there is a happy balance where there are still a lot of customers out there that look to White House for special occasion dressing. So it will be a work in progress, but building back into it especially as we get towards the holiday season, where that special occasion business is really crucial. In terms of accessories, it continues to be an area for White House of focus. I think for both Chico’s and White House, that ability to have accessories as an outfit builder and to complete an outfit is something that just gives us a natural added units per transaction, and so it’s been something that the brand has put a lot of effort behind, and--
Shelley Broader: And really pleased by the esthetic in the leather goods side, especially on jewelry and handbags as well. We’ve had some tremendous customer response in footwear, and as Todd said, in our model, in our most amazing personal service model, when customers come into our shops, meet with our associates and are talking about building their outfit, putting on that additional belt, matching with that two-tone leather tote, we’ve had tremendous success in building our transaction size and continue, starting out in the smaller tests with expanding our accessories business in White House and are now very excited about the possibilities and the future of that business.
Janine Stichter: Okay, thank you.
Operator: The next question comes from Adrienne Yih of Wolfe Research. Please go ahead.
Doug Drummond: Hi, good morning. This is Doug Drummond on for Adrienne today. You said online transactions were up nicely in the quarter, but quarter to date, are you seeing any uptick to D2C sales as a precursor to brick and mortar sales, especially as we progress closer to Memorial Day? As a follow-up on that, have you seen any differential between warm weather and four weather states in 1Q? Thanks a lot.
Todd Vogensen: I’d say in terms of geographical trends, it’s been really variable. I don’t know that I would call out any one particular trend as overriding another. At times, we’ve seen our northeast perform very strong, and at times weather has not been our friend, so it’s been a little bit inconsistent. I’m sorry, the other part of your question was--? Ecommerce trends. Yes, so last quarter was really the defining mark for us, where we used to give out a fair amount of information on our quarter-to-date trends and decided last quarter really as we talk three weeks into the quarter, any trends that we talk about tend to be a little bit of an outlier from where the full quarter will play out, so we’ve kind of gotten away from trying to give a lot of commentary on how the quarter is trending so far, knowing that there is still an awful lot of quarter yet to go. Also, the timing of Memorial Day has shifted from last year, so trends that we’re seeing right now are just a little more difficult to read because that timing of the big holiday plays a huge part in both online and in-store traffic.
Doug Drummond: Okay, that’s fair enough. Thanks a lot, guys.
Operator: Again if you have a question, please press star, then one. The next question comes from Marni Shapiro of The Retail Tracker. Please go ahead.
Marni Shapiro: Hey guys, sorry if I missed this, but Soma looks to be like the highlight here and it seems as if your customers are very loyal. What percentage of your sales at Soma are done online, as it’s a very different business, and have you considered putting either Soma pop-ups or Soma product into Chico’s or White House?
Todd Vogensen: Marni, this is Todd. We’ve said for a while, and it continues to be true, probably always be true that Soma very much lends itself to online selling. Soma is a natural reorder point for customers, and with our latest bra launch we are even seeing that we’ve had a very big uptick over the most recent periods in customers that are making even that first purchase online. So I would think Soma would have our deepest online penetration really as we go forward. It’s just the nature of that business. I’m sorry, second half of your question?
Marni Shapiro: Would you put it into Chico’s or White House, or a similar product?
Todd Vogensen: We actually started out, as you know, as Soma by Chico’s, so it has been in Chico’s stores in the past. I think the key for us is figuring out the right natural product that fits into different selling models, and it’s something that we’re looking at right now.
Shelley Broader: Yeah, the channel question is a great one, and I think it really applies to all of our brands. I mean, right now we’re a two-channel retailer - we’ve got our bricks and mortar presence and we’ve got our online and digital presence, so I think part of the strategic review that we go through is looking at what is the best way to get our products in the hands of our customers, and certainly looking at channels for us is a big part of that, and the cross-over between our brands, whether there’s a huge opportunity there or whether we continue to look at alternative channels too.
Todd Vogensen: Also--
Marni Shapiro: Right, that’s what I was leaning towards. Like, even if you did Chico’s Intimates, given all the knowledge that you now have about that business, or White House Intimates would seem more obvious to me, I guess.
Shelley Broader: Yes.
Todd Vogensen: Yes, I think that’s fair. Just so you know, we also recently launched Soma into our franchise partner in Mexico. It’s kind of an example of going into a different--
Shelley Broader: Channel?
Todd Vogensen: A different channel - thank you, and has been very successful. So I think we’re continuing to look at it, and there will be more opportunities.
Marni Shapiro: Fantastic. Best of luck, guys.
Operator: The next question comes from Anna Andreeva of Oppenheimer. Please go ahead.
Sam Lanman: Hi, good morning. This is Sam Lanman on for Anna. Thanks for taking our question. We were wondering if you could provide any color on inventory by division and how you feel about carryover levels coming into 2Q. Thank you.
Todd Vogensen: You bet. We don’t typically break down our inventory by division. If you look at the comps, the negative comps were probably the biggest driver of the inventory increase, so that’d probably be an indicator for you of where the inventory is. As we go into Q2, I think I’ve said before, the transition of product from spring into summer is a little bit more natural than other times of year, where that product can have maybe a little bit longer life than it might have as you’re going from, say, winter into spring as comparison. So we do have about 4% more inventory, but we feel very comfortable that we’ve set up the plans to be able to move through that inventory, and our plan at this point is even with current traffic levels to end with our inventories approximately flat as we exit Q2, and then down as we go into Q3 and Q4.
Sam Lanman: Thank you.
Todd Vogensen: Okay, thank you.
Operator: The next question comes from Paul Trussell of Deutsche Bank. Please go ahead.
Gabby Carbone: Hi, good morning. This is Gabby Carbone on for Paul. Thanks for taking our question.
Todd Vogensen: Hey Gabby.
Gabby Carbone: Good, how are you? So given the reduction in capex, I was wondering if you could provide some color on how we should be thinking about investment spend beyond this year, and where you think the largest investments might need to be made.
Todd Vogensen: Sure. I think ongoing, it’s two big areas - technology, which will continue to provide new opportunities for us not only to modernize systems but also to make sure we’re keeping up with current technologies on our existing systems, and then from a brick and mortar perspective, I would say a lot more of our capital is going to be spent on making sure that our fleet reflects the customer experience that we want, so that means going in and making sure that we’re doing ongoing refreshes and remodels, and making sure that fleet that we have a very large investment in stays as fresh as it should. So in total, if you’re looking at that $70 million to $80 million range as somewhat of a baseline, that’s probably a good starting point for you.
Gabby Carbone: Okay, thanks, and then just a quick follow-up. So you mentioned you’re continuing with your store rationalization. Can you provide any color on how you’re thinking about closures beyond this year?
Todd Vogensen: Sure. So I think it was last year we announced we’d have in the neighborhood of 170 to 175 store closures through 2017. Based on the 50 that we’re expecting this year, that would leave 50-ish for 2017. Beyond that, we haven’t really gotten into it. What we wanted to do is get a little further into our rationalization program and really revisit store transfer and all of the elements that played into sales transfer, and how and where we could leverage that better in the future. So we’re a little bit TBD on after 2017 until we get a chance to do some more of that analysis, and we’ll definitely--that will be something we’ll be talking about on future calls.
Gabby Carbone: Great, thanks so much.
Todd Vogensen: Thank you.
Operator: The next question comes from Susan Anderson of FBR & Company. Please go ahead.
Susan Anderson: Hi, good morning. Thanks for taking my question. I was wondering if you could talk a little bit about, I guess, the timing this year of the $15 million. Is that all flowing through in the second through fourth quarters, and did you see any of the original $14 million in the first quarter? And then as we think about all of the savings kind of flowing through by fiscal ’17, should we think about most of this flowing to the bottom line, or do you expect maybe to give a little bit more back in promotions if the environment remains competitive or even better quality into the product? Thanks.
Todd Vogensen: You bet. So to answer your last question first, this is about driving better profitability and right-sizing our expense structure for the sales that we have. We absolutely believe that we can get better profitability off of exactly the same amount of transactions that we have today, and so as we look at SG&A savings like marketing, it’s about dropping those to the bottom line. Now from a timing perspective, as you can imagine, a lot of marketing spend relates to things that we have to commit to fairly long in advance, so there are some small amounts that, yes, we would have seen in Q1 or Q2. The bulk of those savings will probably be more back half oriented.
Susan Anderson: Got it, great. That’s helpful.
Shelley Broader: I think it’s important to point out too in relationship to marketing savings that this isn’t about reducing the customer-facing idea that our brands are a great value, so this isn’t about cranking down our discounting and promotional cadence. This is about smart and effective use of leveraging our size and scale and making sure that we’re sending our best offers to the customers most likely to activate on those. So I wouldn’t want that to be misconstrued as we’re chopping those marketing dollars down which is then going to stop our promotional cadence, which would then result in a big crank back to our customers. There is efficiencies to be gained and dollars to be saved and having our customers still experience a great value opportunity with our brands.
Susan Anderson: Got it, that’s helpful. Good luck next quarter.
Todd Vogensen: Thank you.
Shelley Broader: Thanks.
Operator: The last question today will come from Brian Tunick of RBC Capital Markets. Please go ahead.
Leslie Elder: Hi, this is Leslie Elder on for Brian. We were just wondering if you could talk a little bit more about what initiatives, digital initiatives you see underway at Chico’s and White House that could really move the needle most significantly over the next 12 to 18 months.
Shelley Broader: Well, we know we have to win at the intersection of physical and digital, and that the things that we know about the customer for sure is that obviously digital commerce and ecommerce is here to stay. But I believe that even the pure play digital retailers are looking for a way to physically interface with their customers, and I think we have three such exciting brands to provide a real omni experience for our customers. So we just launched our new Chico’s website just this last quarter and we’re extremely excited, and our customers are very receptive to just that particular launch. We’re also continuing to modify our real omni presence, so when a customer is in our store today shopping for our product and they find what they want, or perhaps they would like to see something in another color or another size, all of our associates today are starting to be armed with that customer-facing iPad technology where they can pull up not only the data that we have on that customer, so we can look at that customer’s shopping experience with us, what they’ve purchased in the past, what items they might have at home that would be able to match with those items, but we’re also starting to move that into the hands of our consumer, and we’ll be able to share more of that with you in the future.
Leslie Elder: Okay, great. Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Jennifer Powers for any closing remarks.
Jennifer Powers: Thank you, Andrew. That concludes our call for this morning. Thank you all for joining us this morning, and we appreciate your continuing interest in Chico’s FAS.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.